Operator: Good morning. And welcome to the TravelCenters of America Fourth Quarter 2017 Financial Results. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. With that, I’d like to turn the conference over to Katie Strohacker. Please go ahead.
Katie Strohacker: Thank you. Good morning. We will begin today’s call with remarks from TA’s Chief Executive Officer, Andy Rebholz, followed by TA’s Chief Operating Officer, Barry Richards; and conclude with comments from Bill Myers, TA’s Chief Financial Officer. We will also have time for questions from analysts. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, February 28, 2018. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC’s website, www.sec.gov, or by referring to the Investor Relations section of TA’s website at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. Finally, I’d like to remind you that the recording and retransmission of today’s conference call is prohibited without the prior written consent of TA. And with that, I’ll turn the call over to you, Andy.
Andy Rebholz: Thanks, Katie, and good morning, everybody. Welcome to our fourth quarter earnings call. Before we begin our prepared remarks, I would like to take a moment to say, we are deeply sadden by the unexpected passing of Barry Portnoy, one of our Managing Directors since 2006 and the Founder and Chairman of The RMR Group, our Business Manager. With Barry’s leadership of and dedication to TA will be greatly missed. We extend our condolences to Barry’s family and friends at this difficult time. Adam Portnoy, who has served with past 11 years as President and CEO of The RMR Group will continue as TA’s Managing Director. In review, those remarks really don’t do justice to either of those gentlemen or their contributions to TA. But let’s move on to our prepared remarks. You heard me on these calls for 10 years now, but today’s, for the first time as CEO, and I am excited to be in that position and a part of the team we have assembled to lead TA during what I believe is a pivotal time for our company, given our recent management changes and our ongoing plans for improving our financial results by taking advantage of the market expansion opportunities we see for our business, our other growth programs and our operational improvement plans. As for those recent management changes, in a few minutes you will be introduced to two other members of our executive team, Barry Richards, TA’s new President and Chief Operating Officer; and Bill Myers, TA’s new Chief Financial Officer, who will take you through further details about our recent results and our plans for the future. In addition to the three of us here today, our executive management team includes, Mark Young, TA’s General Counsel; Rodney Bresnahan, TA’s Executive Vice President of Retail Operations; and Skip McGary, TA’s Executive Vice President of Commercial Operations. The six of us are blessed to have about 24,000 hard working people across the continent, striving each day to provide excellent service to our customers and each other. It was largely because of the people at TA that I decided to join the company over 20 years ago and they are big part of why I keep at this. I appreciate what those 24,000 people are doing each day to advance TA’s business and execute on our programs and initiatives. Regarding our 2017 fourth quarter financial results reported earlier this morning, we reported a net loss of $20.6 million or $0.52 per share and EBITDA of $17.4 million, compared to a net loss of $6.5 million or $0.17 per share and EBITDA of $24 million for the fourth quarter of last year. During the 2017 fourth quarter, we recognized several notable items that are listed in the press release and that Bill will speak to in a few minutes. The aggregate effect of these items was to increase our fourth quarter net loss by about $15.2 million or $0.38 per share and to reduce our fourth quarter EBITDA by about $7.4 million. Despite the declines from the prior year and the reported net loss and EBITDA amounts, I believe there were operating improvements that occurred during the fourth quarter that are hidden within those reported results. Nonfuel revenues in our Travel Centers segment grew by 2.7% as our marketing efforts, especially for TA truck service continued to gain traction. In the fourth quarter we saw increases as compared to the prior year quarter of 6.8% in tire unit sales, 50.6% in OnSite mobile maintenance work orders, 6.1% in RoadSquad roadside assistance work orders and 20.1% of Reserve-It! parking reservations revenue. Site level gross margin in our Convenience Stores segment grew by 2.7% over the prior year quarter. We have made some management organization changes that we believe have helped our managers focus on controlling costs and staying competitive in an increasingly difficult competitor environment in many areas. Consolidated same site fuel sales volume trended better versus the prior year period then has been the case in the past two years. While it’s still reflected a decline in fuel sales volume, we have reason to believe we are on the right track, including recent fleet sales successes that Barry will describe. We believe that these successes and the improving sales trends indicate that the ways we are marketing our business, including how we price our fuel are working to increase sales. Our initiative announced early in 2017 to remove about $12 million of costs on an annual basis continued to produce positive results in the fourth quarter. During which the cost reduction programs we are tracking produced aggregate cost savings of approximately $4 million to $6 million as compared to the prior year quarter, primarily in site level operating expenses and fuel cost of goods sold. Despite a tight labor market that is tending to increase labor unit costs, on a consolidated same site basis our ratio of site level operating expenses to nonfuel revenues improved by 40 basis points. I am pleased that we were able to achieve these and other improvement -- other improvements in our business in the 2017 fourth quarter and expect to achieve continued growth and improvement in these and other areas in the coming quarters. That said, I can assure you that we recognize there are areas within our business that require improvement. Looking ahead to 2018, the executive management team at TA is focused on continuing to execute on our key initiatives and to build on the traction we experienced in the fourth quarter to continue growth, especially in our TA truck service business and our Convenience Stores segment. We recently made a number of personnel and organization changes that I believe will enhance our execution in our key growth areas, and I believe these changes will unlock the full potential of the investments we have made over the past few years in new sites, new technology and in our personnel. I personally am excited to have taken over leadership of this company at this time and I am looking forward to improved operating and financial results in 2018. The changes we have made and our plans for the year make me confident that TA will produce those improved results. In our Travel Centers segment, I believe the industry continues to be adversely affected by the continuing fuel efficiency gains of our trucking customers. The inability of trucking companies to hire sufficient drivers also has hampered our business and the changing dining habits of both truck drivers and the U.S. population generally is another trend to be reckoned with. In addition, our primary truck stop competitors are formidable and in recent years have added many more locations to their networks than we have to ours and have expanded into the truck service business. Although, not nearly to the depth and breadth of TA’s truck service capabilities. Fortunately, we have in place a number of tactics to address these challenges and leverage our competitive advantages that generally align under two primary strategies; first, is expanding TA’s addressable market of customers. There are approximately 31 million commercial trucks registered in the United States, of which approximately 3.6 million are Class VIII trucks, of which TA estimates approximately 1 million are long-haul trucks. Historically, our focus has been to provide fuel and nonfuel products primarily to these long-haul fleet companies and independent long-haul drivers, but we have widened our focus to pursue business from many more of those 31 million commercial trucks. With TA’s OnSite, RoadSquad and Commercial Tire Network programs, we are able to extend our fuel, maintenance, inspection, repair and tire expertise beyond our truck base to service other Class VIII truck customers and customers that run Class IV to Class VII trucks, whether at the customer’s yards, e-commerce distribution centers or other remote customer locations. We can provide these services without disrupting the service provided to trucks that come into our shop base every day. The second primary strategy is to market a broader array of our products and services to our existing customers. We had recent good success extending the business we do with several of our traditional long-haul trucking customers to include, for example, commercial tire sales to trucking fleets or utilizing our RoadSquad call center to outsource customer call centers overnight or on weekends or in a few cases thus far full time, or to send our OnSite mobile maintenance crews to customer facilities to service their equipment. We see a growing need for these services and a lot of new opportunity that we plan to go after aggressively in 2018. In our Convenience Stores segment, our focus for 2018 is to significantly improve the profitability of the portfolio of stores we acquired primarily in 2015 and 2016. While some of those C-store have performed very well. As a Group the results to-date have been disappointing. I believe that part of the reason why our C-stores have not performed as we expected is that we have operated them to-date without the benefit of a Minit Mart brand loyalty program. When we took over the smaller chains we acquired, we terminated the existing loyalty programs, removed their brand imaging and installed our Minit Mart brand, but we have not yet created a replacement loyalty program. I think we underestimated the effect this would have on our sales and especially so as new competition from certain of the bigger C-store operators entered many of these markets. We soon will be rolling out our brand new Minit Mart loyalty program and have also made a few other organizational and operational changes in this business. I believe that these changes will result in significant incremental improvement in our financial results from this segment in 2018. The proof of our success with these initiatives this year should be reflected by higher growth rates for 2018 versus 2017 for our consolidated nonfuel revenues and our site level gross margin in excess of site level operating expenses in both segments then the growth rates experienced in 2017 compared to 2016. Another focus of mine this year is with respect to managing expenses. We of course will continue to execute on the $12 million cost reduction program that I mentioned earlier, but it really is much more than just that. We are constantly looking for ways to take costs out of our operations, be they in cost of sales, site level operating expenses or SG&A expense. Our business is labor intensive. With respect to each of site level operating expense and SG&A expense, personnel costs make up nearly 60% of the total belts. So we are constantly searching for ways to become more efficient, such as through automating processes or by centralizing at corporate certain processes that are conducted at our sites. For example, late in 2017, we began a project to centralize at HQ, many of the accounting functions that historically have been performed at our Travel Centers, such as invoice processing, daily receipts reconciliations and the like. We believe we can reduce site level operating expenses by about $8 million per year with an investment of about $1.5 million per year in SG&A expense. It will take until later in 2018 to complete this transition, but by the end of the year we should be enjoying a net $6.5 million per your reduction in expense, which was not part of the $12 million I referenced earlier. We also expect to then automate certain of these tasks over time to hopefully reduce the $1.5 million of expense we expect to add to SG&A. I believe it is logical based on what I have just discussed that when we succeed in these efforts, we will see sizable increases in net income and in EBITDA in 2018 compared to 2017, assuming things stay relatively consistent on the macroeconomic and competitive fronts, and excluding the effect of the unusual income tax benefit in the 2017 third quarter. I expect that with such results TA’s investors, which include me, should see considerable value being created at the company. And finally just a quick word regarding our ongoing litigation with Comdata, one of our primary fuel card transaction processors. As you know, this litigation has been ongoing for over a year. Unfortunately, it is not yet resolved. Briefing regarding recovery of litigation costs, the final open matter was completed in early January and we now are awaiting the court’s final ruling. Our position is that we should recover from Comdata all of our litigation costs and Comdata’s position is that we should recover a lesser amount. Given the level of uncertainty surrounding this legal matter, we have not yet recognized any amount of recovery of our litigation costs in our financial statements and will not do so until after the court has issued its ruling. As a reminder, we and Comdata previously agreed upon the amount of transaction fees Comdata was held in excess of contractual amounts and Comdata has paid this amount to us. With that, I’ll turn the call over to Barry Richards.
Barry Richards: Thanks, Andy. Good morning, everybody. Happy to be talking to you today. I am an 18-year veteran at TravelCenters and I am excited to be working under Andy’s leadership, as we execute on our business plans. You may recall during 2017 we aligned our business units in the two divisions, commercial operations and retail operation. Our commercial operations division includes our fleet sales department, diesel fuel purchasing and our TA truck service business. Our retail operations division includes our diesel fuel and gasoline sales and branding, retail store operations, the TA restaurant group and our other services and amenities operations, such as franchising, gaming and our distribution centers. These are the areas I oversee and we have a number of programs and initiatives underway and plan to take advantage of the opportunities and deal the challenges in our business. Our strategy is to expand the universe of customers to whom we market and the market more broadly to our existing customers. There were positive signs in the fourth quarter. In our fuel business we closed the gap versus prior year fuel sales volumes, in part due to successful contract negotiations with traditional large trucking fleets, including the largest fleet in the United States awarding us in excess of 50% of the highway fuel gallons in an agreement in which we combined our capabilities for over the road fuel, roadside repairs, in bay maintenance and OnSite truck maintenance services. Improvements also resulted from turning our attention to pursuing smaller local regional trucking fleets that an aggregate can add significant sales volumes. In our TA Truck Service business, the three of our RoadSquad, OnSite and Commercial Tire Network operations are presents our largest nonfuel group vehicle and opportunity to attract new business. As Andy mentioned, the services provided by this group appeal to traditional, as well as non-traditional TA customers and we have reorganized those business units to deliver optimal results. We are enjoying success with both tire deliveries, performing inspections and repairs for auction houses and used truck dealers, performing some of those same services for finance and leasing companies. During the first quarter we expect to launch our proprietary TA certified Inspection Service. The program where we ensure trucks are DOT certified prior to resale and giving buyers some piece of mine. And finally, our RoadSquad division continues to add clients that rely on us to be their breakdown call center. Today we service approximately 85 companies taking calls and their drivers, dispatching service trucks for roadside repair. You might be wondering how strong is the demand for these services in these customer segments and some specific examples of our successes to-date include the following; one of our long-haul fuel and truck service customers has a growing need for maintenance, repair and inspection readiness services that served under service yards. We are providing them OnSite services at multiple locations and are utilizing our call center during nights and weekends, as well as for overflow from their breakdown department during peak call periods to help, reduce their total operating costs. And an example of the non-traditional customers is a massive online retailer that utilizes multiple truck companies to handle their freight hauls. They are seeing the need for inspection services through OnSite to ensure the equipment is road ready for transport where on-time deliveries are essential. We rolled up support for this customer in additional areas during the quarter. We continue to grow the relationship and our sales. Another example of a new nontraditional customer, as the company responsible for 1000 of commercial utility trucks, utilize our own terminals across the country to service their boom and lift equipment. We were pleased to meet a coast-to-coast provider that can handle the traditional chassis work they do not perform and historically have outsourced to numerous local vendors. This company also needs help deep branding and inspecting vehicles then turn in by customers at lease expiration. Moving to our retail operations. We are focused on growing our Reserve-It! parking business. There exist a shortage of truck parking in our country and we believe the regulatory change associated with electronic login devices that went into effect in December will exacerbate that problem. The situation to be an impetus for drivers to reserve a spot where and when they need one, this allows drivers to be more efficient with their time, maximize their legal driving hours, and frankly, be more profitable. In our standalone Convenience Store business, our Convenience Store operations continue to suffer from a competitive pressure for larger industry players moving into our geography with newbuild stores. Despite that we have plans in place and activities underway that should grow sales. Chief among these plans we believe the introduction of the new Minit Mart loyalty program. Loyalty programs are proven to be a key ingredient for success in this business and we plan to deploy ours during the second quarter. Our C-store operational management structure was change during the fourth quarter to separate management of our standalone C-stores from our Travel Centers Stores enabling our field management focus solely on that segment. Also some sites are changing gas brand in recent months that should equate to incremental gallons. An example we are seeing in benefit from an introducing our fuel loyalty program occurred in the Kansas City area, a market that added share of new competitors. By August, among other things, we implemented the Phillips 66 KickBack loyalty program at stores where there wasn’t a fuel loyalty program previously. In the fourth quarter EBITDA from these sites increased 29.5% compared to the prior year period. In addition to that there’s a myriad of other activities counseling taking place that are seldom discussed publicly, but taken together help to improve our standing in a given market such as refining our store merchandise offerings, enhancing our food selections and participate in an community events. TA consistently scores at the top of the quality rankings for every gasoline brand that we operate as measured by their independent mystery shopper programs. This means we are operating our C-stores to their highest standards. We are accredit to their brand standard and we receive consideration for that when we negotiate new undertakes. In regarding the TA Restaurant Group, I think, it is important to note that consumer preferences are changing and we are absolutely changing to keep up. Reacting to this exchanging case can frequently cause declines in revenue. For example, we may close a 24 hour full-service restaurant in order to convert it to a limited hour food court. In doing so we lose total revenue while construction is underway and I should point out that are expense ratios are adversely affected because we typically do not increase our labor accordingly so that we can retain our crews for the new concept. In addition to fast food conversions we are also adding national brand full-service restaurants with traditional hours and in some cases simply reducing hours of existing restaurants. All of these activities lower our revenues some permanently which shouldn’t answer overall profitability. The continuous pressure on hourly wages combined with declining overnight traffic counts truly impacting the liability of 24 hour restaurant operations. In the fourth quarter 2017 we had 12 casual dining restaurants that were closed due to rebranding, conversion and permanent closure, but it then opened in the 2016 fourth quarter. In 2018 we expect 11 casual dining restaurants will be close for similar reasons. And with regard to our fleet sales efforts, when we look at our six largest aggregator accounts and our six largest fleet accounts, collectively we saw fuel volumes improved 2.8% in the fourth quarter compared to the fourth quarter of 2016. It pleases us about this last point is attraction we are seeing in truck service and tire unit sales of these accounts. Sales of tire units increase 15% of these top accounts, overall truck service revenues increased double digits in the fourth quarter 2017 compared to the fourth quarter 2016. We believe our traditional customers do have a need for a full suite of truck services including in Bay, roadside and off-site. Increased competition is also something we are focused on. During the first three quarters of 2017 there were 12 competitor sites that opened within a 50-mile distance of an existing TA or Petro location. Collectively at these locations, diesel volumes decreased in the fourth quarter by approximately 1 million gallons compared to the same period in 2016. The competitive sites that are opening are smaller and don’t have the full truck service, foodservice, parking or the customer service at a typical TA Petro, but a brand new site can appeal to drivers particularly early on. We have done some remodeling and adjusted pricing to combat the competition at these locations. At TA Petro sites, where a new site came into the market during the same timeframe in 2016 we were successful during 2017 recovering the majority of the gallons initially lost. I believe we are doing the things necessary to continue providing our customers a high level of service they expect, because we also adjust our operations for the changes and customer needs. Proper execution of our plans will result in increased sales and profitability, and I expect we will execute very well during 2018. And now, I’ll hand the call over to Bill.
Bill Myers: Thank you, Barry. Good morning. I am Bill Meyers and I too am excited for the challenges of my new role. And to be speaking with you today to take you through our 2017 fourth quarter financial results in a bit more detail and to review a few other financial matters. First, let me take you through the results of our Travel Center and C-store segments. In the Travel Center segment fuel sales volume decreased 4.2 million gallons or 0.9% and same site fuel volumes decreased 8.7 million gallons or 1.9%, primarily due to increased competition and continued fuel efficiency gains, especially by our commercial diesel fuel customers. Fuel gross margin decreased $4.3 million from the fourth quarter of 2016 due to the volume decline but also largely as a result of the federal biodiesel tax credit not being enacted during 2017, while it was in place in 2016. However, on February 8th Congress retroactively reinstated the biodiesel tax credit for 2017. As a result, in the 2018 first quarter, we will recognize approximately $23.3 million in benefit to fuel cost of goods sold for the refunds we expect from 2017. At this time the biodiesel tax credit has not been enacted for 2018. Nonfuel revenues in our Travel Centers, as Andy previously, mentioned grew by 2.7%. However, that increase was somewhat lessened by decreased foodservice revenue due to the reduction in operating hours at certain of our restaurants, as Barry just described. Excluding the decrease in restaurant revenue, nonfuel revenue would have grown 3.1%. The reduction in operating hours were in some cases closure of restaurants at some locations was done to increase profitability as the cost to keep them open during the late-night hours, for example, did not exceed the revenue and gross margin they generated. Nonfuel gross margin increased by $7.1 million or 3.1% in the 2017 fourth quarter, compared to the 2016 fourth quarter, due to higher sales level and an increase in the nonfuel gross margin percentage, which was 59.1%, compared to 58.8% in the 2016 fourth quarter. Of this $7.1 million increase, truck service contributed $4.2 million largely attributable to expanding our business, which included higher labor sales in RoadSquad and OnSite, and higher commercial tire unit sales. The reduction in operating hours at certain of our restaurants held down our overall gross margin increases. Site level gross margin in excess of site level operating expenses remained essentially unchanged in the 2017 fourth quarter compared to the 2016 fourth quarter, primarily due to decreases at same sites offset by increases from recently acquired develop properties. On a same site basis, site level gross margin in excess of site level operating expenses decreased slightly in the 2017 fourth quarter, compared to the 2016 fourth quarter, primarily due to a $5.3 million decrease in fuel gross margin that was due to lower sales volume and the lack of the federal biodiesel fuel tax credit that I just mentioned, partially offset by a $3.9 million increase in nonfuel gross margin and a $1 million reduction in site level operating expenses, primarily due to operating cost control measures. In the Convenience Stores segment, fuel sales volume decreased by 500,000 gallons or 0.8% for the 2017 fourth quarter as compared to the 2016 fourth quarter, both on a same site and consolidated basis, due primarily to increased competition. Fuel gross margin increased by approximately $800,000 or 6.3% to $13.8 million, primarily due to continued improvement of operations at newer locations, partially offset by a decrease in fuel sales volume. Nonfuel revenues decreased by $2.1 million or 3.3% in the 2017 fourth quarter, as compared to the 2016 fourth quarter, primarily due to increased competition. Nonfuel gross margin increased slightly in the fourth quarter of 2017, compared to the fourth quarter of 2016. Nonfuel gross margin as a percentage of nonfuel revenue was 35.2% in the 2017 fourth quarter, compared to 33.9% in the 2016 fourth quarter. The increase in nonfuel gross margin percentage was due to a change in the mix of products and services sold. Site level gross margin in excess of site level operating expenses increased in the 2017 fourth quarter by $300,000 or 2.7%, as compared to the 2016 fourth quarter, primarily due to improvements at same site locations. From a consolidated perspective, as Andy previously mentioned, we had a net loss of $20.6 million or $0.52 per share in the 2017 fourth quarter, compared to a net loss of $6.5 million or $0.17 per share in the 2016 fourth quarter. Impacting our results for the fourth quarter were several one-time items such as $6.9 million related to asset impairment charges at certain of our C-store locations and the write-off of certain other assets, $6.4 million an additional income tax expense from revaluing our deferred tax assets and liabilities at a lower tax rate because the new Tax Cuts and Jobs Act legislation passed in December reduce the federal statutory rate from 35% to 21%. There was also a $1.1 million of incremental selling, general and administrative expenses related to retirement agreements with former executive officers. EBITDA for the 2017 fourth quarter decreased by $6.6 million or 27.5% as compared to the prior year’s fourth quarter due mostly to a $2.9 million increase in real estate rent expense and a $2.1 million increase in selling, general and administrative expenses. These increases were partially offset by a $1.5 million increase in site level gross margin in excess of site level operating expenses from sites acquired and developed since the beginning of the 2016 fourth quarter. Selling, general and administrative costs of $39.4 million for the 2017 fourth quarter were $2.1 million more than the 2016 fourth quarter, primarily as a result of two discrete items. First, $1.1 million of expense we recognized in the fourth quarter related to one-time payments and accelerated vesting of common shares previously awarded under our equity compensation plans in connection with the retirement of our former Chief Executive Officer and former Executive Vice President during 2017. Second, we incurred approximately $0.5 million of legal fees during the fourth quarter in connection with our dispute with Comdata. The remaining half -- roughly $0.5 million increase in SG&A represents certain inflationary increases partially offset by certain aspects of our cost reduction initiatives. Depreciation expense increased $9.4 million in the 2017 fourth quarter, compared to the 2016 fourth quarter, primarily due to the impairment and write-off of charges, I mentioned earlier. We currently do not expect or anticipate any additional impairment charges during 2018 given our expected financial results, which reflect the effects of the initiatives we have planned this year that Andy and Barry previously mentioned. Real estate rent expense increased $2.9 million to $70.4 million in the 2017 fourth quarter compared to the 2016 fourth quarter, primarily due to the sales of one newly developed travel center and improvements to other leased sites throughout the year. During 2017, sales to HPT generated $84.6 million of proceeds, which increased rent on an annual basis by $7.2 million. Turning to liquidity investment matters, at December 31st, our cash balance was $36.1 million. We currently have approximately $130 million available to us under our revolving credit facility. We own 30 travel centers, 198 standalone convenience stores and six standalone restaurants that are unencumbered by debt. During the quarter, we invested $46.6 million of capital expenditures and sold $21.7 million of site improvements to our landlord at lease sites HPT. Our current capital investment plan for 2018 contemplates spending $150 million on capital expenditures, which includes approximately $55 million of sustaining capital investments at our existing location. This amount may be adjusted either up or down depending upon the opportunities and challenges we encounter as 2018 progresses. But assuming the capital invest -- but assuming the capital expenditures plan we expect to sell approximately $50 million of improvements to HPT. Just a quick comment regarding the 2018 first quarter, please be aware that as of January 1, 2018, we implemented the new revenue recognition accounting guidance, which will not have a material impact on our results, but as it relates to our loyalty programs will affect the classification of where the impact of the loyalty program awards are recognized between fuel and nonfuel margin. There is no impact on total gross margin just between fuel margin and nonfuel margin. The reclassification for 2017’s first quarter was $12.9 million, which reduces fuel margin by approximately $0.025 per gallon from what we previously reported for that period. That concludes our prepared remarks. Operator, we are ready to take questions.
Operator: [Operator Instructions] Our first question today comes from Bryan Maher with B. Riley FBR. Please go ahead.
Bryan Maher: Yeah. That’s a lot of information to digest and you did answer a couple of my questions in there. But a couple of things left over, can you drill down a little bit more on what you said about the retroactive biodiesel credits for 2017, and I think, you gave a number of like $23 million or so. I mean is that something we should be building into our models for the first quarter of 2018?
Andy Rebholz: Yeah. Bryan, this is -- the -- we have had this experience in the past but it’s been a while. Normally, in the past, excuse me, few years, well, this particular tax credit is one that gets pushed around every year it seems. And at the end of 2016, it ran out, if you will and it took until 2018 for Congress to get around to reenacting it with respect to 2017. So we went through 2017 making purchases and not having the benefit of that $1 per gallon of diesel product in our results. Now it’s not as clean as just saying everything was off of $1 a gallon. But because the way the market reacts to their guess is that whether or not the credit will be reenacted at some point during the year, all figures into how that bio-product is priced and sold throughout the year. But our practice has become and -- I don’t think it’s just us but the practice has become as we are entering into purchase agreements with folks will say, okay, here is the price that we’ll pay you or and if the credit is enacted later in the year then we agree to share that credit half to me, half to you, or 75% me, 25% you or 25% me, 75% you, whatever it might be and it differs by supplier and that’s effectively what happened here in February when Congress did finally reinstate that credit for 2017. Our calculation of what that means based on the purchases we made during 2017 subject to those types of purchase contracts that I mentioned is where this $23.3 million number comes from. So we expect that during 2018 probably not all that cash will come in the first quarter, but some probably will and some will dribble into the second quarter I suppose. But during the first quarter is when we will recognize sort of a one-time benefit of this $23 million in our fuel cost of sales for the first quarter. As of right now, as Bill said, Congress has not yet enacted that credit for 2018. So we really don’t know for sure what’s going to happen in the future. I think that as people were living through 2017 there were -- there was reason to believe that Congress would reinstate the credit, because that’s exactly the same situation that has happened at least three times or four times in the past eight years. But the political winds are shifting and the things you hear out of Washington it’s harder to handicap maybe how that will turn out with regard to 2018 and the future. Our trade association is pushing for having that that credit enacted in 2018 and in future years, but then having a controlled phase out of it so that all the participants in that marketplace can plan with some certainty for what’s going to happen. And then there are people who are pushing for something different and I think we end up getting Farm State Senators lined up against Refining State Senators and things like that. So we really don’t know where that’s going to go. I think that for sure we know we are going to have this benefit reflected in the first quarter and other than that probably best to just wait and see what happens with that credit and assume that all other things being equal which they probably won’t be as life progresses in 2018, but that the margins would be similar to what we saw in the prior year when we also didn’t have that fuel credit in place. Now, having just said what I just said, I do want to again warn everybody what Bill just ended his discussion with this -- the adoption of the revenue recognition accounting standard effective for the first quarter of this year is going to result in our sort of restating certain prior year amounts, primarily, the fuel and nonfuel revenues, which is going to shift an amount of margin out of fuel margin and into nonfuel margin, which you might look and say, last year’s fuel margin per gallon was X, when we reported last year’s first quarter this year it’s going to be X minus roughly $0.025, so again just alerting you to that that it’s coming when we report first quarter.
Bryan Maher: Right. But from a modeling standpoint, I mean, you’re not providing currently what the pro forms are going to be for the full four quarters of the year. So from a modeling standpoint should we continue to model a status quo and as we go -- since one’s coming away from the other and as we get the numbers throughout the year shift the model accordingly?
Andy Rebholz: Yeah. That’s probably not an unreasonable approach and so you have more of those specific details, yeah.
Bryan Maher: Right. Because you’re not providing...
Andy Rebholz: But really it’s a net sum effect. It’s the same amount of discount if you want to call it that. We are just moving it from one bucket to another, right.
Bryan Maher: Right. And then, the other question I have and maybe it’s more of a suggestion and then I’ll yield the call, is look every company I cover and most of the companies out there report adjusted EBITDA and adjusted EPS, and I know that you TA and all the RMR companies do not do that. But it would be immensely helpful if you did and I think it would be reflected in not only your share price but that of all the RMR entities if you adopted what essentially almost every other company does because it creates a lot of urge not just with analysts but with the buy side and everybody that looks at your earnings when they are release trying to figure out what the real number is and I don’t quite understand why the company doesn’t adopt that methodology which so many other companies have?
Andy Rebholz: Fair point. And certainly take your suggestion under advisement.
Bryan Maher: Yeah. Thank you.
Andy Rebholz: Thanks, Bryan.
Operator: Next question comes from Alvin Concepcion with Citi. Please go ahead.
Unidentified Analyst: Hi. Good morning. It’s actually [ph] Garrett (48:22) on for Alvin. Thanks for taking our questions. Just wanted to dig into the competitive environment a little bit, I think, you call out increased competition being a driver of the decrease in fuel sales volumes. So I am wondering if you could add a little color to what you’re seeing and what’s changed in the last couple months, because I believe you mentioned in the last call the competitive environment was relatively unchanged just want to get a little more color on what you’re seeing there?
Andy Rebholz: Yeah. I think, Garrett, that there is probably two different ideas in what we have said today with regard to the Travel Center segment. You have an environment where there are three major players and in that environment I think that it’s fair to say that the competitive environment the level of competition, however, you want to phrase that has remained substantially the same throughout the year and so far this year. The sole difference being that those competitors of ours have added a number of more sites during the year than we have. So from just a total number of locations or total size of the network, I mean, they have gotten a bit larger than us than they might have been before. But the way they’re pricing, the way they attack the market that that hasn’t really changed from what they had been doing historically and as we have talked about in the past. When we have talked about sort of the effects of greater competition, excuse me, that’s probably been a bigger factor with regard to the C-store segment, where a lot of what we are talking about is with regard to sort of the expectations that previously had been set or when we were underwriting acquisitions or as we have talked to the market in the past about the opportunities with those investments. And in many of the markets where we acquired sites and entered a market for the first time soon after our entry into that market there was entry into that market by one or more of the bigger players than us in the C-store space. And unlike in the Travel Center segment, in the C-store segment we are not one of the big guys and so when a Quick Trip or Casey’s or somebody like that moves into a geography where we are with a newly built store, it has some effect. It -- there’s a new player in town, even if you do everything exactly as well as them and price everything exactly the same as them, they’re going to take some of the business, because they happen to be closer to where somebody lives that sort of the thing. So, when we talk about the competition. Those are the kind of things that we are talking about. The C-stores you’ve got new entrants and really in the truck stops that those guys have added more sites than we have, which has to have some effect on things. And it’s something that we certainly take into account, as Barry described, when say, a pilot or logs opens a new site or acquires a new site nearby one of our sites. We do things to fight for our share of the business and sometimes that takes time to build back up to where we were.
Unidentified Analyst: Okay. Great. Thanks for that color. And then, lastly, just wondering how fuel gross margin is running 1Q to-date?
Bill Meyers: Sure. This is Bill Meyers. Fuel gross margin from January-to-January of the previous year is about a $0.01 down. Volumes are up about 1.5% and when you look at from December-to-January $0.01 per gallon and margins slightly down.
Unidentified Analyst: All right. Great. Thank you so much.
Operator: Next question comes from Ben Brownlow with Raymond James. Please go ahead.
Ben Brownlow: Hi. Thanks for all the color you’re giving this morning. Just a -- I know it’s a wash, but on the reclassification with the new revenue recognition in 2018 and that $12.9 million is that sort of a fair quarterly run rate or is it ranging from $12 million to $20 million per quarter?
Andy Rebholz: I don’t think it’s $20 million, but somewhere around $12 million or $0.025, $0.03, $0.04 from a $0.01 per gallon perspective. But I think it’s probably fair to say $12 million is a reasonable ballpark.
Ben Brownlow: Okay. That’s helpful. And as you think about sort of the C-stores channel and the change in the competitive landscape that you’ve seen since acquiring a lot of those sites, is there a thought of divesting some of those sites down the road if they don’t turn around or are you on such a closer threshold that you think you can get all those sites kind of back to the profitability where you originally targeted?
Andy Rebholz: Yeah. Ben, I think, that the answer is probably some of everything that you said. I really do, excuse me, I really do believe that we are on the cusp of making some big improvements in the results from those C-stores that we have acquired, both with this loyalty program that we are set to deploy if you will in the second quarter and the recent changes we made in the management structure and the little tweaks in operations that each and every site that that leads to. But that being said, there are sites that no matter what maybe just won’t cut it. I mean, we actually have, maybe it’s happening today, there was one of these C-stores that happened to be one that when we bought it it was leased. So we took over the lease and we have been losing money after rent at that site and it was time to renew and the landlord wanted more rent and so we said we can renew that. So and we have got another example of the same exact thing happening, but I think the lease doesn’t end until sometime in May and there could be other examples like that. So we -- I think we have a lot of people here who don’t like to give up on things and we’ll work hard to make things work and do their best. But I think we need to see how these recent management changes and the loyalty program, the effect that has on the results. And then, frankly, I mean, I am of a mind with this and with many things that if it doesn’t then everything needs to kind of be on the table, all the different alternatives, which could include selling maybe all the sites in a certain area or realizing that all. We are closed except for this one other change we should make, it could be all sorts of different things and it could be at some point getting rid of all of the C-stores. But now we do see in certain of the pockets or markets in which we have the C-stores some really good things happening and we are not yet ready to give up on it.
Ben Brownlow: Great. Thanks and congrats on all your respective promotions.
Andy Rebholz: Oh!
Bill Myers: Thank you.
Andy Rebholz: Thanks. Thanks, Ben.
Operator: The next question is a follow-up from Bryan Maher. Please go ahead.
Bryan Maher: All right. So you opened yourself up for that, Andy, with the everything is on the table. Recall, I guess, it was a year and a half ago there was an offer on the table in the mid-teens for the entire company. Do you think that there’s a sentiment shift with management and the Board to be a little bit more accepting, should something like that come around again?
Andy Rebholz: I guess, I would probably phrase it may be slightly differently. I think the Board is of the mind that to do the right thing and at the time of that particular indication that somebody might want to make an offer there was a belief that that offer wasn’t -- accepting that offer wasn’t the right thing to do. I don’t think there was a consensus among the Board that selling the company was off the table. It’s just at that particular price indication at that particular time given many different things that we had going on and our expectations for how those things would turn out that price didn’t make sense then. So that’s how I see it. I think that something could happen if it was the right thing.
Bryan Maher: Okay. Thank you.
Operator: At this time, this will conclude our question-and-answer session. I would now like to turn the conference back over to Andy Rebholz for any closing remarks.
Andy Rebholz: Thanks, Brian. And again, thank you all for joining us today. We began our conversation regarding our various plans on the call today and we look forward to continuing that discussion in future calls, and when we meet with many of you in person over the coming weeks and months. Thanks.
Operator: The conference is now concluded. Thank you very much for attending today’s presentation. You may now disconnect.